Operator: Greetings, and welcome to the SurgePays' Q1 2024 Earnings. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Quinn Callanan. Thank you. You may begin. 
Quinn Callanan: Thank you, operator, and good afternoon, everyone. Welcome to the SurgePays' First Quarter 2024 Earnings Webcast and Conference Call. Today's date is May 13, 2024. And on the call today from SurgePays are Brian Cox, President and Chief Executive Officer; and Tony Evers, Chief Financial Officer.  
 Before we begin, I'd like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. For a discussion of such risks and uncertainties, please see SurgePays' most recent filings with the SEC. 
 All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. 
 Copies of today's press release are accessible on SurgePays' Investor Relations website. In addition, SurgePays Form 10-Q for the quarter ended March 31, 2024, will also be available on SurgePays Investor Relations website. And now I'd like to turn the call over to President and Chief Executive Officer, Brian Cox. 
Kevin Cox: Thanks, Quinn. First, I would like to thank our shareholders and those interested in SurgePays for joining the call. As we have expanded and continue expanding our audience, I'd like to give a brief overview of who we are, what we do and our target market. 
 Our core mission at SurgePays is to provide financial technology and prepaid wireless services to the underbanked and underserved populations at the grassroots level where they live and shop. Studies have shown that the underbank do most of their financial transactions at the trusted local convenience store closest to their homes. 
 SurgePays' technology layered platform empowers clerks at these convenience stores to provide a suite of prepaid wireless and financial products to underbank customers at the register. Before we dive into Q1 results, let's address the 800-pound gorilla.  
 We are currently in a complicated environment pending government approval of continuing the funding of ACP, the Affordable Connectivity Program. The ACP funding provision made it to the floor by being attached to the FAA Reauthorization Act. 
 So it's likely it could come to a vote with Rip and Replace another program or be attached to another bill. We could know in a few weeks. We are hopeful ACP passes, but we aren't waiting around for approval. 3 months ago, I challenged my team to make a plan to replace or duplicate all ACP revenue within 12 months. I'm thrilled to announce that I believe that they have not only met this challenge but exceeded it with the successful rollout of our prepaid wireless company, LinkUp Mobile, combined with ramping up our legacy prepaid wireless top-up business. Strategic hires, new technology and other corporate initiatives have put us in a great position.  
 Our team has put together a comprehensive strategic plan that we are confident will enable us to grow our SurgePays' nationwide network, which is a product-agnostic delivery system to the underbanked and underserved utilizing convenience stores as the points of distribution. 
 If the ACP is funded, we will be in a fantastic situation immediately. If the ACP is not funded, I expect us not only to just replace our current ACP revenue but exceed it in 12 months with the rollout and scaling of our prepaid wireless company, LinkUp Mobile, utilizing our own distribution platform, SurgePays. As an example of the traction we've accomplished, we now have signed over 9 master nationwide dealers for LinkUp distribution and prepaid top-up business. 
 We believe the combination of our own MVNO prepaid wireless company and the top-up platform is compelling, long-standing distribution business to switch to us. We will help those companies roll out our program into wireless dealers, convenience stores and bodegas.  
 It bears emphasizing that the timing of this rollout and expected revenue growth should happen independently of ACP and is a direct result of our team's execution. 
 Touching on our financial results for the quarter. Overall revenues were affected by our decision last year to shift focus away from LogicsIQ. This effectively eliminated the $3.2 million of revenue that LogicsIQ contributed in the first quarter of 2023. However, it allowed our team to be completely focused on verticals aligned with our profitable and scalable business model. 
 Despite the recent quarterly loss in Lead Generation revenue, we believe our new focus will benefit the company in the long term. Our Mobile Virtual Network Operator, or MVNO wireless revenue increased from $28.7 million in the first quarter of 2023 to $28.9 million in the first quarter of 2024. Gross profit increased 6% to $8.2 million compared to $7.7 million in the year ago period, and gross margin increased about 4% to 26%.  
 I'm looking for big things and big revenue coming from our team's future effort and execution. Whether or not the ACP is funded, we are confident we can continue to build the largest distribution network of underbanked products and services, utilizing convenience stores as the points of distribution with or without ACP. 
 If the ACP is funded, we plan to expand our ACP customer base with the use of our base of stores and other mechanisms in place. I'd like to emphasize this point. Our business plan never had the word ACP in it. Our team has been relentlessly working for well over a year on the cornerstone of our business. our prepaid wireless brand, LinkUp Mobile, and our fintech platform, SurgePays, which represents our distribution. 
 Integrations with carriers, endless APIs into partners and development highlight what the team has accomplished. Our wireless and fintech products work in synergy and when combined, represent an offering never seen in our industry.  
 Whether or not the ACP is funded, we will look to aggressively increase revenue in LinkUp Mobile and our prepaid platform transactions through strategic distribution partnerships, organic sales, key hires, and as opportunities arise, complementary acquisitions that are synergistic and accretive to our business model. 
 Keep in mind that if ACP is not funded, millions of current ACP customers left in the lurch will be looking for a new prepaid wireless company to replace their subsidized service. It is our plan to leverage our relationship with our existing ACP base to convert them to low-cost value plans while offering aggressive promotions to the convenience stores and wireless dealers who are frontline access to those utilizing all other ACP companies. 
 We think this will give us the upper hand in converting many ACP customers into LinkUp Mobile customers. In any scenario, we believe we have the team, the products and the distribution to be extremely successful regardless of how the ACP funding situation plays out.  
 We have aggressive internal targets and anticipate this contributing to positive cash flow in 2024. In the meantime, as of March 31, 2024, we had approximately $43 million in cash in the bank and are looking for accretive acquisitions. Our focus is on positive net earnings businesses that complement our model. 
 I'll turn the call over to Tony to review our financial results before summarizing today's call. Tony? 
Anthony Evers: Thank you, Brian, and good afternoon, everyone. I will begin my overview of the first quarter's financial results. 
 For the first quarter, we reported revenues of $31.4 million compared to $34.8 million in 2023, representing a decrease of 10%. The decrease was primarily due to the operational changes by management in late 2023 to our Lead Generation services consisting of LogicsIQ with its revenues decreasing by $3.2 million. 
 Gross profit increased 6% in the -- during the first quarter to $8.2 million compared to $7.7 million in the year ago period. First quarter gross margin also showed improvement to 26% versus 22.1% in the first quarter last year. SG&A expenses increased by 115% year-over-year. The increase was primarily due to noncash stock compensation for management. The stock compensation relates to employment agreements signed in late 2023.  
 We also had additional expenses for contractor and consultant fees related to the purchase of ClearLine earlier this year. Income from operations was $1.8 million during the first quarter compared to $4.6 million in the year ago period. 
 Net income for the first quarter was up -- was $1.2 million or a gain of $0.07 per share compared to $4.5 million or $0.32 per share in the prior year quarter. Our reported net income and EPS were $1.2 million and $0.07 per share. Our income and earnings per share were adversely impacted by the noncash expenses in the quarter, primarily related to noncash compensation to executives based on the employment agreements. 
 For comparative purpose to quarter -- first quarter 2023, adding back to $1.5 million in stock compensation in the first quarter of 2024 would have resulted in an EPS of $0.15 per share. EPS was also diluted by a 34% increase in shares outstanding related to the capital raise and the warrant conversions occurring in the first quarter of 2024.  
 Turning to the balance sheet, liquidity and cash flow. Our cash balance as of March 31, 2024, was $42.9 million compared to $14.6 million at year-end 2023. The increase was attributable to both the capital raise in January of approximately $17 million and the exercise of warrants during the first quarter of 2024 of over $8 million. 
 Accounts receivables decreased by $1.3 million from year-end 2023 to $8.3 million. The ACP stopped accepting subscribers in February of 2024. As a result, our overall receivable from the U.S. government decreased as of quarter end. Given our strengthened financial position, cash balance and capital structure, our cash allocation priorities focus on investing in the business and maintaining ample liquidity for future growth. I will now call -- pass the call back to Brian for some closing remarks. 
Kevin Cox: Thanks, Tony. I believe the four key components to a company's success are the team, the products, the distribution and the funding. I believe we have assembled the best and most experienced team in the history of prepaid wireless. 
 We have the most compelling offering in the market currently. We own our own distribution, and we have over $42 million cash in the bank to execute our plan. I believe SurgePays is built for success regardless of how the ACP funding situation plays out. 
 Thank you so much for your time today. We will now open up the call to questions. Operator? 
Operator: [Operator Instructions] The first question we have is from Andrew Scott of OIS. 
Unknown Analyst: Interesting situation. Didn't really look like a bad quarter when you look at the $2 million nonstock compensation charge. And you think what's your feel on ACP? I know that's like you called it the big 800-pound gorilla. Are you guys getting any more body language out of Washington? We're seeing a lot of senators talk about it. Can you just -- I got two other quick questions, but can you give us any thoughts to anything more you're seeing? 
Kevin Cox: Yes. Sure, Andrew. Thank you for the question. And yes, that's -- it's day-to-day. I think we all have learned more about civics in the last 30 days than we did in any classes that we took in school for sure. Because now it applies to us. 
 As we stated in the script that they did leverage the FAA bill to get it to the floor, which makes it a lot more probable. We got it out of committee and a lot more probable now that people will have to vote on it. If you can Google ACP funding, and you could see additional Senators lining up even over the weekend. I don't want to get off into too much politics, but we have been told from our advocates in Washington. It's definitely a situation where if it is funded, people want to take credit for it.
 So I think people like to swoop in with -- on the white horse in the last minutes to save the day, especially in an election year. And as far as body language, I watch the folks that have better connectivity to Washington than we do.  
 And what I mean is, don't watch the dealer, watch the other people at the table. And when I have a spiff that was pulled off the table last week by AT&T, it was the original intention was to try to go snag a bunch of ACP customers that lost their service. 
 When ACP pulled that, it was basically a promotional wholesale spiff to us to go try to grab a bunch of customers. It was pulled off the table Friday because they believe ACP is funded. So that would be the body language that I would look for. The people who have a whole lot more cocktail parties in Washington than we're part of. And normally a lot more in the know. But that's really -- I mean, your guess as good as mine. It's Washington.  
 I mean I saw -- there's 50 million people. I saw an advocate over the weekend. I talked about -- it's not -- it's 23 million households, but it's 50 million people. And it's everybody from J.D. Vance to Fetterman. So you've got the extremes and everything in the middle, both sides of the aisle. 
 We're very, very hopeful. But again, we're not walking outside and praying to the sun every day. We're definitely executing our business model and thank goodness, the timing couldn't be better for us because the launch of LinkUp Mobile. If ACP was perfectly fine, we would still be launching LinkUp Mobile now. That's how long it took to put that together. So either way, we're either in a phenomenal situation or we're in a great situation. 
Unknown Analyst: All right. Brian, any more comments on LinkUp Mobile. I know it's a new division. You said some strategic hires. Is there any kind of any more guidance you can give us on what you're looking to accomplish there? 
Kevin Cox: Yes. I don't know about guidance because I know that's a funny word on these calls. But definitely, we didn't get into this, and let's just go in my background, for those that don't know, I jumped into wireless. I am one of the original guys that have been since day 1. I sold 5 copper line CLECs that I owned when I saw people lining up around a convenience store, buying Boost flip phones out of the trunk of cars. So we've been in wireless since day 1, and the entire reason I got into wireless was to launch my own and our own prepaid wireless brand one day when I had a really compelling offer that wouldn't be an also-ran.  
 And that's a reference to horse racing. Don't just be in the race as an also-ran. We wanted to be in the top three. So never really had that opportunity until now. And for those that don't know, distribution of the prepaid wireless is predicated on a couple of things, primarily getting to dealers that would be like your A++ wireless and more wireless guys, it's those resellers of prepaid wireless that are now all over the city even in the, let's call it, kind of the upper class parts of town. They're everywhere because there's over 100 million prepaid wireless customers.  
 And the way these folks make money. Well, they make money by the front-end spiff on activating prepaid wireless customers. And then also, they make a percentage of taking payments for these customers every month. Well, we never really had the right combination of both components there. 
 The ability to not only offer them the ability to take our payments, but great rates on all the competition as well, now we do. And we're head-to-head with the guys out there. The other folks who do all the payments, the third-party fintech as they call it, the transactions for third-party wireless companies. None of those companies own their own wireless company. So when we go head-to-head when that master dealer or when that storefront is debating whether they should go with SurgePays or not.  
 We have the ability to throw a few more points on the board, utilizing LinkUp Mobile. So we're not trying, for example, to negotiate over 0.25 on Verizon prepaid and then we'll get your business. because now we can just say, hey, we own this product. We have huge margins that are very similar to ACP. Absolutely, we'll give you 10% to take the payment for us sir. So that's kind of the process, and that's the Phase 1 of how we're rolling out. 
 And so far, we're -- this is the most excited, Andrew, that I've been. I think since I got my first CLEC approval in Tennessee in 2005, this is fun. This is fun. We've got a great team. We've got great technology. And head-to-head we win, I like to fight and we win. We're winning. And I think that as the year progresses, you guys are going to start seeing the winning as the points at the scoreboard. 
Unknown Analyst: Yes. And I'd love to see what you guys are going to do with that $43 million in cash. There's a lot you can do. I'll finish there, but I got a couple of other questions. I don't want to hog the line. 
Kevin Cox: No, I'll give one last comment. Don't forget, I started this company with a mattress on the floor, a dorm fridge, and a dog. And a credit card with a $10,000 limit. I definitely didn't have $43 million in the bank, but I'm still the same guy that did it. And I've got a fantastic team now that can help me execute on. So I appreciate the questions, Andrew. 
Operator: The next question we have is from Ed Woo of Ascendiant Capital Markets. 
Edward Woo: Yes. Congratulations on the quarter and definitely managing through the ACP process. And like I said, you and a lot of people out there are rooting for this to get funded. My question is, obviously, congratulations on having such a huge war chest. Some of your recent acquisitions have been pretty minor, relatively small for technology. Do you anticipate maybe doing a major shift that maybe buying one of your competitors to expand in the MVNO space? Or will it be kind of more of the same going forward? 
Kevin Cox: No. You know what, that's a fantastic question. I talk with Tony, our CFO about that exact thing quite often. We have people who send us potential acquisitions that are not necessarily on our route. They're in our in our neighborhood, but they're not on a route trying to accomplish with what we're building. 
 I do -- we do have competitors out there that I think at the right time would be a good acquisition for us. But what I'm watching right now with as many NDAs, contracts being executed and known revenue of these distributors, when I'm watching -- we basically have a spreadsheet that's almost like a draft board of all of our targets for master dealers, which represent tens of millions in revenue a month. And targeting them and going after these guys and then going after these networks and then going after some of these technology service providers. 
 I think when it comes to acquiring a company, if -- let me try to word this as politically correct as I can. If we're going in with a compelling offer that others can't compete with, they're an argument that people may be willing to value their company less after they've been knocked around for a few rounds. We have a tremendous amount of revenue that's low lying fruit for us right now with our offering. So what I'd like to do and what we're doing is putting this behind our LinkUp Mobile push. 
 And then, for example, I'm not going to say you buy your revenue, but it's almost like acquiring subscribers in an acquisition if, let's say, a competitor is offering x for activations. And we know that a master dealer is doing 10,000 activations a month for that carrier, that competitor. Well, how much are they paying? Why is that master dealer working with them?  What can we do to bring them to us? And then if maybe we pay them a couple of bucks more for the activation, maybe we give them a residual kicker maybe we give them access to me and other people and make them feel more part. They've got input. It's more of a little bit of a co-op attack. 
 But whatever it is, we have the flexibility to do those things. So we're paying an upfront spiff for activations. It's almost like we're acquiring that 10,000 activations now, and that's exactly -- I gave you a real-life scenario of what I'm watching and where I'm pulled in to authorize thumbs up, let's go. And so those are the kind of things that we're seeing right now, Ed. 
 And I think what we're going to do, we're going to hit the market hard with LinkUp. You're going to be -- you guys are going to be hearing a lot more about that here in the coming week or 2. And by the way, linkupmobile.com. We're got a few fine-tuned things left about that. Phase 2 is going to be our online push, but people can go ahead and check that out right now. And when you roll out into a market where they're really a value-centric market. And most of the people on this call are probably at our core, not what is deemed value centric. And what I mean is you go to the grocery store and you add up every dollar of what goes into your cart while it hits your cart. We get things. We put it on the credit card. We've got things on automated payment. There's always going to be enough check for the month. Our market is value-oriented. So we can roll out a $10 plan, a $15 plan, a $25 plan all in, no additional taxes and fees. We do feel like we've got something special. And so we are going to push that very, very hard. But again, we go out there, we knock some heads and there are some opportunities. I will absolutely make a move on a competitor. 
Edward Woo: Great. Well, thank you. And I know you guys are very well, experienced to be able to take advantage of that. And congratulations and good luck. 
Operator: The next question we have is from Curtis Shauger of Water Tower Research. 
Curtis Shauger: Congrats on your execution and what can only be described as a challenging environment with ACP. If I could for the help of all investors out there. Can you provide maybe a little bit more on the partnerships you mentioned? You mentioned master dealers. Are these folks that are going to help you populate the convenience stores in Bodegas? Or do they have a more diverse distribution network themselves? 
Kevin Cox: Yes. No, Curtis, thank you for the question. That's a really good question because sometimes I guess, those of us who deal with us every day, you can get used to it using all the acronyms and everything else in wireless that we take for granted. 
 The way that we're approaching the rollout is Phase 1, is through using master dealers or master agents as they're called. And normally, how that's set up, if you look at the map of the country and you have a territory that a master would be over. And these guys have been in this a long time. There's an expectation of they know the activations that they're going to do. They're ordering their SIMs from the dealers and most of the masters utilize 2 or 3 prepaid carriers. And keep in mind, also T-Mobile, AT&T, Verizon, everybody has their own prepaid brand, too. So there's usually a combination of 2 or 3 companies that they carry. 
 And they know about how many activations they are going to do a month, which is really exciting for Tony and myself because we're about to embark into a revenue channel where we can start having a little more predictability than the ACP piece. Especially once we dig our feet in and we better understand attrition, specifically geared to our product on the prepaid side with LinkUp, we're going to have a significant amount of predictability because we're going to have the SIM cards ordered by the tens of thousands from our masters. 
 And they're going to be accountable for activating those in a certain amount of time. And they're doing business with everything from the convenience stores that kind of have a little lean over to the side for wireless or just straight up freestanding wireless stores. It's a great low lying fruit opportunity for us. 
 And for those that don't know how our company has been put together, we have folks that have been in wireless since the first days of wireless, especially prepaid wireless. There's a lot of favors that are being called in right now. There's a lot of pats on the back. There's a lot of rekindling phone calls because we've got the product now. We're very, very proud of it. Our team is very, very proud of it. 
 So that master dealer approach, Phase 1, Phase 2 would be online, and also putting together the piece to go straight through our existing convenience store network and as we grow our convenience stores. It's a little bit different in the convenience store, your volume is definitely not going to be the same number of activations, but it's great volume. And a lot of times, those customers may be a little bit more loyal over time because that is the place they go 5 times a week. 
 People don't go to a wireless dealer 5 times a week. So I always love the customers that come from the convenience store. Phase 3 ironically, and going back to kind of Ed Woo's question is integrating with our competitors, the guys who do prepaid top-ups for everyone. They're called TSPs, technology service providers. And at the end of the day, you do business with your competition to get the most subscribers and to maximize your revenue that way, but that would be the Phase 3. 
 So that's kind of the way we look at this. And the way I would look at it is a 30-day March, Phase 1, 30 days, next -- then you add Phase 2 and then add Phase 3. So by Q3, we're humming on all cylinders, and we've got a much clearer picture of what we've got in this bottle of lightning and what -- how -- I used the reference of putting points on the board. We're going to be able to see a little bit more predictability about where this thing is going and how fast we can ramp it up. 
Curtis Shauger: Excellent. If I could follow up with a quick question about LogicsIQ. I know we've talked about it before in terms of it going into dormant mode or nonoperable status. But is it -- is there any -- I know there was a point in which you thought about divesting it? Is it -- can you give us any idea about what the kind of finality of that is there, if at all? 
Kevin Cox: Yes, no, sure. I appreciate the question. It is an interesting question. And just as a side note, it was a little bit of a strain having -- even Tony at the CFO level, having to wear completely different hats, dealing with prepaid underbank and transactions and fintech and wireless and all that vernacular and then immediately jumping into Lead Generation for mass tort lawsuits. 
 I mean it was -- I could see the stress across the company, and it was creating a scenario that just wasn't a part of my model. And to be completely honest with you, I was not a subject matter expert. And the people I was bringing on were not subject matter experts in that field. It didn't make sense. 
 Now the last year, LogicsIQ when we were pushing the subsidiary, we did a partnership where we share in the outcome of a certain number of, let's just call them, booked cases, signed, filed and delivered book cases that are pending the outcome of those cases in certain courts around the country. [indiscernible] Camp Lejeune, 3M earbuds, some other mass tort cases out there that are waiting for -- to see how the chips fall.
 We do have vested interest. And we have had that valuated, and that could come back from x million to x millions. So we are debating. Does it make sense to divest ourselves of that? Because that's really almost an asset. If you -- it's not a GAAP asset but to us in the real world, that would be something that has value. 
 So we have considered an asset. And would we go ahead and be willing to offload that at a discount, just to have access to the cash? I think so. But worst-case scenario, it's sitting over to the side on deck. And as those cases come to fruition over the next year 2, 3, 4 years, then that share -- our share of the outcome of the legal fees associated with those cases would come to us. So that's where we are right now. 
Operator: The next question we have is from Anja Soderstrom of Sidoti & Co. 
Anja Soderstrom: So I'm just curious with the ACP not taking any more new sign-ups in February and it's stopped funding totally in April. How are you seeing the transition sort of trending? Is it that above expectations or... 
Kevin Cox: That's a good question, Anja. I appreciate the question. And to clarify, because we did touch on this, and I think both the press release and the call earlier. On February 7, they stopped -- the government stopped allowing new enrollments. It's almost like the Obama Care open enrollment. It closed down. 
 So they did allow us, which I really wasn't a big fan of, but they allowed us to take customers from competitors, but not bring in any new customers. I think they looked at it as a way of tapping whatever their spend would be. They didn't care whether they were sending us or another ACP company the money, they just wanted to cap the money. 
 Where it affected us was the fact that if you're pulling a customer from a competitor, that $100 credit for a tablet most likely has already been used. So that did hurt our -- this is called our top line revenue, $100 a pop for anybody that is not used that tablet credit. 
 So when you talk about expectations, this has been -- I mean, again, this is not all consuming. I always want to make clear, 95% of my day the word ACP never crosses my e-mails, text, mouth. It's not a part of what we're building. But the time that we are spending on it is looking at competitors and the irony is all of our competitors were all collectively in advocacy groups because while we may go beat each other up in the street, right now, we're all looking to make sure that the program is funded so we can get back to beating each other up. 
 So most companies out there are still continuing to go after customers, the ones that we talk to, they're all very hopeful. They believe that, especially in an election year, that you got bipartisan both sides, not a whole lot of people are speaking out against it. I think it's just a fact that it is a new program. It's run in an efficient manner, where it's technically government subsidized, but not a government program. There's no people in Washington really that get rich off of it. It is a truly program of the people. 
 And I think that's actually one of the things that's kind of helped to hold this back a little bit and not push it forward because it doesn't have people fighting for it as advocates. But I think in the next couple of weeks from what I'm hearing, we're going to find out. I do believe, as you know, that the funding runs out at the end of this month. And I think that there's a lot of people. And from what I've been told, there's a lot of people who at the last minute pile on to claim victory once they know the team is going to win. And it seems to be moving in that direction. I think there's a lot of momentum even over the weekend. 
 A lot of momentum. You've got the White House who has essentially gotten everything they've wanted now for a couple of years. You've got the SEC, you've got the Senate. I mean -- I think that -- I think we're close. So let's see. 
Anja Soderstrom: Okay. That was helpful. And then in terms of your gross margin, that's been improved also helped by the tablet sign-ups, right, rather than the in-person representatives. How should we think about that going forward? How is that rolling out? 
Kevin Cox: Going forward, I think -- well, there again, it really -- I almost have to answer these types of questions with either/or. If ACP is funded I think you should see gross margins do well and keep that trend moving forward. If it's not, I'm going to go into absolute aggression mode to grow LinkUp Mobile subscribers. 
 So in the short term, if gross margins because we'll have front-loaded spiffs, incentives, promotions, pushing branding, if those things pull down margins in the short run, to achieve hundreds of thousands and leading up to millions of subscribers. I have no problem with that. That's one of the great things about having cash in the bank is being able to model that out and track and chart your growth trajectory to make sure that you're maximizing that. 
 But the worst thing we could ever do, in my opinion, is focus every day on gross margin and then grow one pebble at a time. That is absolutely not why I'm here. I see $140 million in revenue. I'm asking my team, how do we double it. How do we double $280 million? How do we double $560 million. That's just the way I'm wired. 
 And so I think that when you look at margins, not something -- obviously, coming from the entrepreneur side of the world, it was important for me, making money is important, absolutely. But right now, growing and getting a subscriber base to where we are profitable regardless of whether ACP is funded or not is definitely way higher on my priority list. 
Anja Soderstrom: And one last one. In earlier that you expected LinkUp Mobile in case ACP does not get refunded that should replace the ACP revenue. What type of time frame do you have on that. 
Kevin Cox: We have SIM cards going out now. That's a good question. We have SIM cards going out now. We have contracts and APIs being finalized. Let me -- you gave me an opportunity to add maybe a little bit more color to the question I answered earlier. Let's say that you have 100 wireless dealers that you distribute to. And you signed the deal with me today to -- you're coming exclusively for LinkUp Mobile. We got a deal. We high-fived, we're now we're in business together. 
 Because you also are supplying them with the ability to top up, now your IT guys are going to work to API and integrate into our platform so that we can process all of those transactions seamlessly. Activations, payments and then also payments for, like I said, our competitors. So we're watching these contracts and APIs essentially redlining my development and IT guys right now. I think I'm working them to the bone. 
 They're definitely burning the midnight oil to keep up with what the sales team is doing. But I think that -- and by the way, we're going to start reporting some of these milestones. I'm really excited. We did a little bit of that early on in ACP. And I don't want to get stuck in a rut of creating an expectation, but I do want to start reporting some milestones, hey, we just hit 50,000, hey, we hit 100,000. 
 We do look forward to start showing people what we can do in this non-subsidized non-ACP market. So I think, like I said, look for some news over the next week or 2 as we formally roll this out. And then I think you're going to see some really special things. 
Operator: We have come to the end of the question-and-answer session, and I would like to turn the call back over to Brian Cox for any closing remarks. 
Kevin Cox: Hi. Thanks again for everyone who joined the call. We appreciate you. I appreciate you being a shareholder and look forward to next quarter. Have a good day. Bye-bye. 
Operator: Ladies and gentlemen, that concludes this conference. Thank you for joining us. You may now disconnect your lines.